Operator: Greetings, and welcome to the voxeljet Fourth Quarter and Full-Year 2015 Financial Results Conference Call. At this time, all participants are in a listen-only mode. A brief question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Johannes Pesch, Manager of Investor Relations and Business Development. Thank you, sir. You may begin.
Johannes Pesch: Thank you, operator, and good morning everyone. With me today are Dr. Ingo Ederer, voxeljet’s Chief Executive Officer; and Rudi Franz, voxeljet’s Chief Financial Officer. Yesterday after the market closed, voxeljet issued a press release announcing its fourth quarter and full-year financial results for the period ended December 31, 2015. The release as well as the accompanying presentation for this conference call is available in the Investor Relations section of the company’s website at voxeljet.de. During our call, we may make certain forward-looking statements about the company’s performance. Such forward-looking statements are not guarantees of future performance and therefore one should not place undue reliance upon them. Forward-looking statements are also subject to inherent risks and uncertainties that could cause actual results to differ materially from those expressed. For additional information concerning factors that could cause actual results to differ from those discussed in our forward-looking statements, you should refer to the cautionary statements contained in our press release, as well as the Risk Factors contained in the company’s filings with the Securities and Exchange Commission. With that, I would now like to turn the call over to Ingo Ederer, Chief Executive Officer of voxeljet.
Ingo Ederer: Thank you, Johannes, and good morning, everyone. Thank you for joining us on our year-end earnings call today. I’m going to give a brief overview of our results for both the fourth quarter and full-year 2015, and then update you on the status of our strategic initiatives. Rudi will provide a more detailed review of our financial results for the period and will discuss our guidance for 2016. We will then open the call up for your questions. So please let’s turn to Slide 4 and 5 of the presentation and begin with the highlights for the fourth quarter and full-year 2015. For the quarter, total revenues increased approximately 19% from €6.9 million to €8.3 million. We are proud to say that this was a record for our quarterly revenue. This confirms that we are heading in the right direction with our strategy and efforts. Systems revenues increased 15% to €4.9 million from €4.2 million in the fourth quarter of 2015. We sold nine printers in the quarter compared to seven in last year’s same period. Customer interest and quoting activity remains strong globally with notable strengths from the U.S. through our subsidiary voxeljet America. The outlook for printer sale is positive based on our backlog, which reached a level of approximately €5.6 million on December 31, 2015, representing nine printers. As of March 31, 2016, our backlog was approximately €6.1 million. Our [lead list] [ph] for systems which consists of potential customer sales for which we expect to receive a purchase order in future, usually within a 12 months period also remained strong. So in combination, our backlog and our [lead list] [ph] give us the confidence that we can fulfill our long-term sales targets for systems. Service revenues in the fourth quarter increased 26% to €3.4 million from €2.7 million in last year’s same period. This was primarily due to the revenue contribution of our subsidiaries and continued revenue growth from the capacity expansion of our service facility in Germany. Our capacity expansion has enabled us to significantly increase both the volume and the number of shipped parts. Steady orders for both on-demand sand parts and plastic parts highlight that we’ve grown the growing acceptance of 3D printing for production. For the year 2015, total revenues were €24.1 million. This was an impressive increase of nearly 49% over the revenues in 2014. System revenues increased 23% to €11.1 million from €9.1 million in 2014, as we sold 18 printers for the year compared to 14 printers last year. This creates additional opportunities for us to generate recurring revenues through the sale of consumables, spare parts and maintenance. Services revenues increased 82% to €13 million from €7.1 million last year, primarily due to the revenue contribution of our subsidiaries and continued revenue growth from the capacity expansion of our service facility in Germany. Slide 6 highlights the acceptance of our technology. Revenues both in our systems and service department has been growing strongly and consistently since the IPO. We are well on track and are strongly executing on the growth story we laid out in our public offering disclosure. The revenue development over the last year has proved that there is an increasing demand for our technology, which meets expectations and enjoys a high market acceptance. Turning to Slide 8. I would like to highlight our focus on executing our strategy, as you can see the delivered results. I’m very pleased with our performance that fourth quarter 2015 closed a year of strong operating performance. We not only overachieved our revenue guidance with total revenues of €24.1 million, but also met our SG&A and R&D costs targets. We maintained our focus on attracting and retaining a strong rep force for our growing operations. We introduced a group-wide metrics organization to standardize processes and facilitate communication and cooperation in our growing global organization. Internal experts provide the whole organization with the expertise and enjoy optimal results. To further drive efficiencies in our cooperations and to be well prepared for our future growth, we professionalized our IT infrastructure by implementing SAP as a group-wide ERP system. We reached a very significant milestone in November 2015, when we delivered our 100th 3D printer. At the end of the year, we had a base of a 107 in both printers. This proves that customers value our products and that 3D printing technology is gradually making its way into more industries and more companies are deciding to purchase their own machines. The building up of our service center in the U.S. near Detroit, Michigan is further progressing. The facility is state-of-the-art with room to grow with the delivery of V4000 at the end of 2015, which is now up and running. We continue to increase our service capacity in Detroit. It gives us the opportunity to produce both very large parts and also high volumes of parts and sand for which we believe there’s a significant demand. We expect the Detroit service center to grow revenues progressively throughout the year. Like in Friedberg, the service center in Detroit is a showroom for customers who start out with services and graduate to buying a system. Having reviewed the financial performance of the voxeljet UK and its specific market environment, namely, the film entertainment and merchandising industry, we decided in October 2015 to streamline the operations and started to restructure the business. This was finalized in December 2015. voxeljet UK now focuses its activities solely on [pure part] [ph] printing services and selling our high-speed large format 3D printers to industrial and commercial customers. We believe that the streamline voxeljet UK fits better with our global business model and our long-term strategic targets. Moreover, we took strategic initiatives to pursue opportunities in the Asian industrial 3D printing market. In December 2015, we announced our joint venture partnership with Meimai in China. Our longstanding relationship with the principals of Meimai makes them the ideal local partner for us to establish a direct operating presence in the biggest foundry market on the globe. The experience with our printers coupled with existing customer base and relationship with end users of industrial 3D printing applications in China is a great benefit. voxeljet China is headquartered in the City of Suzhou near Shanghai and is expected to begin providing on-demand part services from a temporary facility in the second quarter of 2016. We’re in the early planning stages for a larger facility, which is expected to be a similar in size through voxeljet’s existing service facilities in Germany and the United States. In December 2015, voxeljet India was established in Pune, a large automotive and manufacturing center near Mumbai. We planned to establish our service center for manufacturing on-demand 3D printing molds within the next 18 months. This gives voxeljet a meaningful presence in the second largest foundry market on the globe. While the integration of our Asian subsidiaries is still in the early stages, we see great promise [ph]. We are excited about the new prospects and very much looking forward to the opportunities ahead. For 2016, one of our financial target is to reach a mutual to positive EBITDA for the full-year. In addition, we plan to increase our systems with family capacity and add a new R&D center at Germany. This new R&D hub will further strengthen our position as an innovation leader in the future 3D printing. We also aim to expand our Phenolic Direct Binding process across our machine portfolio. I will discuss these topics in more detail later on in my presentation. This leads me to the Slide 9, to summarize our strategy 2020. First and foremost, we successfully strengthened our core for implementing a new ERP system. This system streamlines our internal processes and provides a more consistent method for routing and tracking the flow of weakness and information. This increase in – this ability is particularly relevant, as we continuously expand our operations on a global scale. Second, the introduction of our Matrix organization, we greatly increased the efficient exchange of information within the organization. The partners were closely together and communicate with each other frequently to solve issues directly. These efficient lives of communication will further enhance our productivity across all our departments and will allow for quick decision making. This is particularly important in the global and fast-moving industries we are operating in. Last but not least, with €34 million liquidity on hand, we are in a position to provide our strategy and fuel our growth as planned. Consequently, we are well prepared for the opening up our future markets and the scale up of our operations will pave the way for generating above average growth in the future. Turning to Slide 10, I will review the scale up of the production space at the voxeljet headquarters in Germany. Expansion of our German headquarters has been very favorable, as we increased both services and systems production capacity. In the area of photograph, you can see the existing office building and the service center, as well as the location of the new R&D center, which will be established in a building currently used for systems assembly. Systems assembly will move into a new building. The picture also shows that new office building and the new systems assembly. We finance the new facilities in Friedberg Bayern of loan agreements with Kreissparkasse Augsburg in the aggregate amount of €4 billion. We expect constructing – construction to commence shortly without any disruptions to our day-to-day operations. Turning to Slide 11 and 12. I’m very happy and excited to introduce you to the Managing Directors of our subsidiaries. As mentioned previously, attracting skilled individuals could deliver outstanding results and share our passion for CD printing is not only of critical important, it’s a precondition for our future success. With David, James, Tianshi, and Nidhi, we are very confident that we have found exactly that. In summary, taking a look at Slide 13, you can get a sense of our global sales and marketing presence. At the end of 2015, we had more than 30 employees in our sales and marketing team and more than 20 sales agents or partners who represent us in 40 countries around the world. This increases our market penetration and facilitates the adoption of our technology. This leads me to the next part of the presentation, the technology update starting on Slide 14. Another driver of our strategy is our focus on continued innovation and advancement in technology through ongoing research and development. Our focus here will strengthen our position in the industry and contribute to our long-term future growth. Looking at Slide 15, our innovation can be broken down into the three categories; Materials, Components and Machine. As we have discussed in the past, in the area of Materials, we are improving both existing and new material sets to improve the quality of printing and also increase the adoption of the technology by expanding the customer base and addressable market. With respect to Components, an example of our effort here would be related to the optimization of our printer technology and other associated technical equipment to improve the overall printing process. And with respect to Machine development, we offer one of the industry’s broadest portfolios of printers for industrial and commercial production. Our initiative here is to standardize and offer uniform quality across all our systems. This leads me to the next section of the presentation is the Phenolic Direct Binding process, starting on Slide 16. On the Materials side, we have introduced a new binder system, Phenolic resin, mainly for foundry application. It achieves high strength, excellent [indiscernible] and detail as well as the broadcasting results in aluminum, but also in iron and steel. Another significant advantage all unprinted sand can be reclaimed. As a result, operational costs were lower than those of competing system. We have introduced this Materials, I don’t know with 1,000 and with 2,000 platform. Make sure to watch our latest video on the Phenolic Direct Binding process at YouTube link given below. Customers have shown great interest in this Material and we import several systems already with more to come. We have included several additional slides in this section of the presentation to illustrate this process further. That brings me to the end of my part of the formal presentation. I will now turn the call over to Rudi. Rudi?
Rudolf Franz: Thank you, and good morning, everyone. I’ll now take you through the financials. As Ingo said, we completed the repositioning of voxeljet UK on November 30, 2015 and associated one-time non-cash charges up to the €7 million were included in our results, so I’ll provide the numbers, excluding the charges as well in my comment. Turning to Slide 23, our total revenues increased 19% to €8.3 million in the fourth quarter compared to €6.9 million in the last year’s fourth quarter. Gross profit and gross margin in the quarter were €1.7 million and approximately 20% respectively compared to €3 million and 43% in the last year’s fourth quarter. We recognized that inventory impairment charge within cost of sales of €1.1 million related to the repositioning of voxeljet UK. Excluding this one time effect, our gross profit and margin would have been €2.7 million and 33%, which was negatively impacted by the general financial performance of our subsidiary in the UK. The next slide shows our segment reporting for the quarter. On Slide 24, systems revenue increased 15% to €4.9 million for the fourth quarter of 2015 from €4.2 million in the last year’s fourth quarter. We sold six new printers and three used and refurbished printers in this year’s quarter compared to seven new printers in the last year’s same period. Systems revenues represented 59% of total revenue in the fourth quarter of 2015 compared to 61% in last year’s fourth quarter. Gross profit and gross margin for our Systems segment in the quarter was €2.0 million and 41%, respectively, compared to €1.8 million and 43% in last year’s same period. As you know, the March is affected by product mix, used printers generally carry a lower gross margins in new printers and then contributed to lower overall gross margin. We expect gross margin from the Systems segment to be in the range of 40% to 45% on systems they also – they have given in the past. On Slide 25, service revenue increased 26% to €3.4 million in the fourth quarter of 2015 compared to €2.7 million in the last year’s same quarter. Gross profit for our Service segment was negative €0.3 million in the fourth quarter of 2015 and included an inventory impairment charge of €1.1 million related to the repositioning of voxeljet UK. Excluding the charge, gross profit and margin were €0.7 million and 22% compared to €1.2 million and 44% in last year’s fourth quarter. Gross profit and margin services for the group was mixed with margins that our facility in Germany above the group level, as demand for sand and plastic remains – parts remained strong. This was offset by the lower gross profit of our subsidiaries in the United States and the United Kingdom, both of which we expect to improve progressively throughout the current year as a result of our strategic repositioning of voxeljet UK and the continuing scale up of operations at voxeljet America. Looking now through the rest of the income statement on Slide 26, SG&A expenses were up €3.1 million in the fourth quarter of 2015 and included impairment charge of €0.7 million related to the repositioning of voxeljet UK. This compares to €2.5 million in the last year’s fourth quarter. Research and development expenses were €0.8 million compared to €1.3 million in last year’s fourth quarter. The decrease is related to the termination of certain non-core R&D projects at voxeljet UK as part of its strategic repositioning. We continue to invest in core R&D in Germany with a number of active projects in various stages of development, which strengthens our leadership and technology. Slide 27 shows our operating income prior to giving effect for the restructuring of voxeljet UK. The takeaway is that excluding losses of approximately €2.4 million from impairment charges related to the repositioning of voxeljet UK, operating profit would have been slightly positive in the fourth quarter of 2015 compared to an operating loss of €0.5 million in the prior year period. This is a significant achievement as we focused the company on profitability. Net loss for the quarter was €2.4 million, or €0.65 per share compared to a net loss of €0.7 million, or €0.17 per share in the prior year period. On an ADS basis, net loss was €0.13 per ADS compared to a net loss of €0.03 per ADS in the fourth quarter of 2014. You can see on Slide 28 to 31 of the presentation, we have provided the similar review for the full-year period. Slide 32, shows selected balance sheet items. At December 31, 2015, the company had cash, cash equivalents and short-term investments in bond funds totaling €34 million. The total debt at December 31, 2015 was approximately €2.4 million and weighted average shares outstanding for the quarter was €3.72 million, which equates €18.6 million ADSs. We believe that our balance sheet positions us well for the long-term. Moving now onto Slide 33, and our revenue guidance for the year. We expect to achieve revenues between €28 million and €30 million in 2016. Gross margin is expected to be between 40% and 42%. SG&A spending is expected to be in the range of €10 million to €11 million, and R&D spending to be approximately €4 million to €5 million. EBITDA is expected to be neutral to positive. This implies depreciation and amortization between €3 million and €4 million. CapEx spending for 2016 should be in the range of €12 million to €13 million, which primarily consists of ongoing investments in our global subsidiary, as well the construction of two new buildings at our companies in Germany to support increased production capacity. Our first quarter ended yesterday and our primarily revenue guidance for the first quarter of 2016 is revenues in the range of €5 million to €5.5 million. We will release our financial results for the first quarter of 2016 after the closing of the financial market on Thursday, May 12, 2016, and host a conference call and webcast to review the results for the quarter on Friday, May 13, 2016 at 8:30 a.m. Eastern Time. This concludes my remarks. And with that, we’ll now open the call up for your questions. Operator?
Operator: Thank you. We will now be conducting a question-and-answer session. [Operator Instructions] Thank you. Our first question comes from the line of Troy Jensen with Piper Jaffray. Please proceed with your question.
Austin Bohlig: Thanks for taking my question, gentlemen, and this is Austin Bohlig on behalf of Troy. My first question probably for Rudi would be, I’m just looking at gross margins. Just wondering just with the dip in Q4, how should we expect for that to recover in Q1 and maybe directionally throughout the year, given the fact you guys reiterated your gross margin target for the full-year? And then I have a follow-up?
Rudolf Franz: I would expect gross margin for services in a range, which we have seen in Q3 last year, so it definitely will recover. And as we guided, we expect gross margin about 40%. And so this is – and as well in our Systems segment for the full-year.
Austin Bohlig: Okay…
Rudolf Franz: You saw in Q4, we had a one-time effect, where we endured costs for the repositioning of our UK business, and Ingo as well me explained them in detail in the presentation.
Austin Bohlig: Okay, great. Thank you. And then I’d say the next one would be on the new technology front, I know you guys talked about Materials. Just wondering if we should be expecting anything in 2016, regarding new systems to be introduced?
Rudolf Franz: We have a full pipeline of R&D project as laid out with the focus on the three items Materials, Components, and Equipment. We have some of those in the very early stages, some of them are in final stages before a broader release, for the moment it’s not visible that we have a broader product release for this year.
Austin Bohlig: Okay. Well, congrats on the quarter and good luck in 2016.
Rudolf Franz: Thank you.
Operator: Our next question comes from the line of James Medvedeff with Cowen. Please proceed with your question.
James Medvedeff: Hi, good afternoon.
Ingo Ederer: Good afternoon.
James Medvedeff: So the first question that I have is on the – that there was a total of €2.356 million of charges and inventory adjustments and so forth. But not all of that is called out in the press release. There’s a €1.068 in COGS, or cost of goods sold, 380,000 in sales and 471,000, which consists of two items in other expense, and there’s 435,000 missing. Can you say where that is?
Rudolf Franz: I recommend to kind of go into our notes, there we described it in detail. And if you have additional questions, we can take it out later on.
James Medvedeff: Okay. A follow-up question to that is, so the run rate for operating expenses, when we back all the – when we back all those out, it seems very low. It’s under €3 million. And just curious well – how it got to be so low and what would cause it to go back up next year, or this year?
Rudolf Franz: As stated in my guidance or in our guidance, we believe that we’re pretty good positioned and we’ve – we increased what’s necessary and again just – I just would like to reflect our guidance.
James Medvedeff: Okay. And just one more, if I could. The backlog as of March, you gave €6.1 million number, how many units does that represent?
Rudolf Franz: We don’t disclose that.
James Medvedeff: Okay. Thank you.
Rudolf Franz: Welcome.
Operator: Our next question comes from the line of Ken Wong with Citigroup. Please proceed with your questions.
Kenneth Wong: Hey, guys. When we look at your guide in 2016, can you give us a sense for where you think the capacity for your U.S. facility will end up? And maybe a sense of kind of how it was in – when you guys closed out Q4 of this year?
Ingo Ederer: So the full capacity in our U.S. operation by end of 2016 is, as you’ve– I think you did not attend the analysts – you have been at the analyst meeting, Kenneth?
Kenneth Wong: Yes, yes.
Ingo Ederer: The VX4000, you saw in operation…
Kenneth Wong: Yes.
Ingo Ederer: …and beside the existing printers, the two sand printers and three plastic printers, we for sure will add between one and two more sand printers. And as said couple of quarters ago, we believe that by end of 2017, we should nearly have the capacity like in our Germany facility.
Kenneth Wong: Perfect. And then second, Ingo, you guys talked about a new systems facility out in the Friedberg area. Should that be completed by 2016? And then what do you think, like how much additional systems capacity do you think you’ll have relative to what you have today?
Ingo Ederer: So this facility will be – is planned to be operational by end of the year. And it will give us enough space for the next, at least, five years. So our plan is to grow consistently, so you can expect what this means in terms of capacity.
Operator: Our next question comes from the line of Ben Hearnsberger with Stephens. Please proceed with your question.
Brandon Wright: Hi, thanks for taking my question. This is Brandon in for Ben. Just real quick on 2016 sales guide. It’s a little below the long-term operating model of 25% to 30%. When can we expect to get back closer to this type of growth? Thanks.
Rudolf Franz: Current – in the current market environment, we feel quite comfortable with the growth which we’re indicating. We are not a software company. We are a hardware company, and it always takes about to ramp up facilities. We have a long-term growth model and there might be years where we grow 25% and there might be years where we grow 30% or 20%, or sometime 40%. But the guidance we’ve given, as said, we feel comfortable for 2016 and early 2017, we’re going to give guidance for 2017.
Brandon Wright: Understood. And then on the OpEx in 2016, so you’re calling for reduced on absolute dollar. Is this – should we think about this for 2017 as well, or is this kind of just a 2016 aberration, if you will?
Rudolf Franz: I think we reached a pretty good level in SG&A currently and going forward, it might grow, but definitely not on a level and that’s what I said in the last quarter already, not on a level, which we have grown SG&A spending since 2014, 2015. R&D expenses, the same, I think we’re going to grow and beyond gross margin. But to achieve our long-term target in operating margin, we have to grow gross profit faster than SG&A and R&D and that’s what we’re starting with.
Brandon Wright: Understood. Thanks for taking my questions.
Operator: [Operator Instructions] Our next question comes from the line of Saliq Khan with Imperial Capital. Please proceed with your questions.
Saliq Khan: Hey, good morning, guys.
Ingo Ederer: Good morning.
Saliq Khan: A couple of quick questions for you. First of all being as [indiscernible] voxeljet India and the work that maybe heis doing out there. What is that market opportunity look like for you? And over the years, how big can it become as a part of the overall pie of voxeljet?
Rudolf Franz: As Ingo said, we are in a early stage. We started the operation and within the next 18 months, we plan to have a service center in place comparable in our first stage to probably half the size here in Germany. Long-term, we see a significant potential in both markets, India and China. I don’t want to predict what level it can reach in our group, but we – as we see great potential in those markets.
Saliq Khan: Okay. And as you take a look at the overall global slowdown that’s out there right now within the capital goods shipments, is that impacting your outlook for 2016, or do you feel like the work that you’re doing out in China, or India, or the cost-cutting stuff that you guys are working on is going to be able to largely offset any headwinds?
Ingo Ederer: So, for the moment we see good acceptance and all the good opportunities for us to sell printers in Asian markets. So China is a significant – we showed significant – it shows the significant demand for our machines. And I think, if you have seen in the past four months, Korea, for instance, and other Asian markets are very important for us. So that’s why the step in China was a logical step for us to come closer to existing clients and address all the new customers.
Saliq Khan: Okay. Guys are you seeing – during 2016, are you seeing any sort of an adverse impact from the slowdown within the energy sector at all?
Ingo Ederer: Well, of course, the demand for parts – cash parts in the energy sector is slowing down. However, we see other industries picking up for the moment. We are not highly dependent on energy and oil-based industries. So that’s why I can’t really complain, the business is very strong in both segments.
Saliq Khan: Perfect. And guys one last question for you then I’ll hop back in the queue. Given the focus that you have on sweatening [ph] your core and scaling up the service centers over the years, how do you going to walk towards preventing costs from ballooning?
Ingo Ederer: Excuse me, could you…
Rudolf Franz: Can you please repeat your question?
Saliq Khan: Sure. The focus as you guys have had on sweetening the overall core business, scaling up the service center you talked a little bit more about R&D and HR work as well. How are you going to prevent the overall costs from ballooning, from increasing?
Rudolf Franz: I apologize, I still didn’t get you.
Saliq Khan: Sure, [and I will rock] [ph]. A lot of the initiatives within the strategy 2020 that you guys have been talking about, it appears to me that there might be an increase in overall costs, sure, your revenue is going to go up as well. I just want to better understand what things are you going to do, make sure, your costs will increase as rapidly as you may envision?
Rudolf Franz: So we – the assumption is that we can keep costs with the smaller, as what you thought with the smaller growth rate than the revenue contribution from the new market. So – and as you see in the investment in the new facilities, they should pay back in virtual term, so we’re quite confident to be a well-positioned in that respect.
Ingo Ederer: The prime driver definitely is revenue, as we discussed, but as well we have to carefully watch our spendings beyond gross profit, because you always earn money if you careful with your spending.
Saliq Khan: Perfect. And Rudi, I really appreciate you guys. Thank you.
Ingo Ederer: Welcome.
Rudolf Franz: Thank you.
Operator: Our next question comes from the line of Jason North with Jefferies. Please proceed with your question.
Jason North: Yes. I just want to look at the Q4 services margins a real quick here. Was that mainly down because of the Americas you have the VX4000 installed and wasn’t – you still had revenues out sequentially in some of the services business of Americas for Q4?
Rudolf Franz: Thanks for this question, Jason. The gross margin was not down because of this, because we installed it and took into operation end of 2015, early 2016. The prime driver were UK – the UK business affected gross margin overall, below – still the U.S. is in the growth mode, it affected it, and that turned out to be in the 33% overall margin. But as said, we are very confident with the growing demand in the U.S. with a refocusing of the UK business with pretty strong activities in Europe that we see gross margins by contract and on a level where we guided.
Jason North: Okay. And then for the – just to clarify the earlier comment, you think the Q1 gross margin will be similar to Q3 2015?
Rudolf Franz: We’re currently doing our work and that’s what we gave guidance only on numbers. And the overall guidance for gross margin for 2016 is between 40% and 42%. It might be that Q1 is below and other quarters are above. But I said, we just closed the books yesterday and we want to do our work and going to give the detailed numbers in our earnings call.
Jason North: Okay. And for the full-year 2016, are you still targeting 30 printers to be sold?
Rudolf Franz: We did not disclose the number of printers, but we’re still on track with achieving revenues, or aiming to achieve revenues in the range of €28 million to €30 million.
Jason North: Okay. And then last one here. It looks like the – when you have the charges from Q4 coming off that Q1 for OpEx like will be the bottom theatre that may ramp up a little bit under, obviously be within your full range targets for the year? So how we should think about it as Q1 has bottomed then up a little bit from there?
Rudolf Franz: That’s fine. I agree it.
Jason North: Okay, perfect. Thank you, guys.
Rudolf Franz: Thank you, Jason.
Operator: Thank you. Mr. Ederer, we have no further questions at this time. I would now like to turn the floor back over to you for closing comments.
Ingo Ederer: Thank you very much, operator. So 2015 was a year of strong performance and a transition as we invested and positioned the business for the future. We are very pleased with our progress and the milestones we have achieved and we are off to a very good start in 2016. We plan to improve our results in 2016, driven by continued emphasis on growing our subsidiaries and unrelenting focus on R&D and by increasing our market penetration through our sales and marketing operations. Our organization now employees more than 220 people with operations in five countries with which compared to approximately 100 employees with operations only in Germany at the time of the IPO. We believe we are well on track to achieve what we have said we would. There’s a great momentum in our business and we’re well-positioned to deliver on our results and be the leader in our technology, Rudi and I want to thank all our colleagues and the team members. To sum up, we are confident that we have the right talent, the right strategy, and the right efforts to drive long-term sustainable growth for our investor. Thank you again for all your participation in today’s call. I look forward to speaking with you again in May, when we report our results for the first quarter of the current business year. Thank you very much.
A - Rudolf Franz: Thank you. Bye-bye